Operator: Good morning, ladies and gentlemen. And welcome to the North American Construction Group Earnings Call for the Third Quarter Ended in September 30, 2022. [Operator Instructions] The company wishes to confirm that today’s comments contain forward-looking information and that actual results could differ materially from a conclusion, forecast or projection contained in that forward-looking information. Certain material factors or assumptions were applied in drawing conclusions or in making forecasts or projections that are reflected in the forward-looking information. Additional information about those material factors is contained in the company’s most recent management’s discussion and analysis, which is available on SEDAR and EDGAR as well as on the company’s website at nacg.ca. I will now like to turn the conference over to Joe Lambert, President and CEO. Please go ahead.
Joe Lambert: Thanks, Sergio [ph]. Good morning, everyone. And thanks for joining our call today. I'm going to start with our Q3 2022 operational performance before handing it over to Jason for the financial overview. And then I will conclude with the operational priorities, bid pipeline outlook for 2022 and our first look at 2023 before taking your questions. On Slide 3, our Q3 trailing 12-month total recordable rate of 0.67 is the same as it was after Q2, but remains above our industry leading target frequency of 0.5. And we will be focusing our efforts on further advancing our green hand new hire training programs, prevention of high potential injury events and our wet winter hazard awareness programs as we enter our busy winter season and continue to add to our workforce. On Slide 4, we highlight some of the major achievements of Q3. Most of these topics are discussed and other slides later in the deck. So I would simply summarize that we resolved our Q2 issues executed well and are now focused on our winter work program a safe and efficient closeout of the year. Moving on to Slide 5, we've added a new slide showing how we have moved away from vendor supported maintenance and continue to develop, attract and retain our skilled maintenance trades people to improve fleet utilization. NACG has an extensive and comprehensive program to expand both our action and field based maintenance workforce. We had some slight setbacks in our programs earlier in the year, as we tried to resist unusual and high skilled trades, wage increases, but we're back on track and expect to continue the hiring trend. As this slide clearly shows, we know how to grow our maintenance workforce. And we have been doing this for a long time. We have long understood that the skilled maintenance trades are decreasing in supply. And even when under average demand, the industry cannot supply enough skilled trades people. We have also long know that wage increases often don't increase supply, and that successful companies will develop and train their own. We believe we do this better than anyone else. We would prefer if this was not the case, because if others in the industry will likewise grow their own, we will all benefit from a more suitable supply of skilled maintenance trades before. Moving on to Slide 6. We achieved our highest Q3 utilization on record and the demand for our fleet remains high. The Q3 utilization of 62% was directly correlated to increase maintenance manpower and approved fleet mechanical availability. We expect to high demand remain into impossibly beyond 2023. We likewise expect our progress on increasing the maintenance Labor Workforce will directly correlate to continued improvements in fleet utilization. Lastly, on this slide, I would just like to point out that other than the obvious pandemic impacts our diversification efforts over the last several years had delivered into expectations and demonstrated higher Q2 and Q3 fleet utilization and we have moved the smaller underutilized portions of our heavy equipment fleet out of oil sands and into other geographies and commodities, where they have achieved more operating hours. The diversification now built into the business has removed much of the seasonality and cyclicality seen in previous years. Slide 7 describe their most recent acquisition and add further to both our internal and external maintenance capabilities. In addition to welcoming ML Northern team to the NACG family, I want to acknowledge the strength of skills and abilities this team brings to us. We historically had used ML Northern as a subcontractor when our internal servicing fleet was being stretched beyond capacity. After several years of being an ML Northern customer, we realize they share our safe low cost culture, and we also realize they're experts at caring for an operating a service fleet. Rather than trying to emulate we decided we would be better off operating a managing or service fleet through and on Northern and keeping our NACG team focused on the heavy equipment fleet. ML Northern will continue to perform work for external maintenance customers and will also take on the operations and maintenance of the full NACG fleet of support equipment for servicing of the NACG heavy equipment fleet. The initial emigrate integration of ML Northern has been seamless, and we expect to have the full NACG service fleet under ML Northern management over the next few months. I am excited about the benefits we believe ML Northern can bring to our business and look forward to sharing those achievements with you in more detail on our next call. On Slide 8 my final slide before handing over to Jason, I just wanted to highlight the open and honest discussions with our oil sands customers regarding cost escalation. These conversations resulted in what we believe our fair and equitable contracts will amendments. These client relationships are a cornerstone to our business in all commodity and geographic areas we work but we're developed, tested and proven strong many times over a half a century working right here in Alberta Oil Sands. On the lower half of the slide, I also wanted to highlight that our Fargo-Moorhead Flood Diversion project which just broke down this past quarter is on track with original color schedule and margins. The project is less than 5% complete, we're excited to be ramping up and heading to our first full operating year. With that, I'll hand it over to Jason for the Q3 financials.
Jason Veenstra: Thanks, Joe. This quarter’s financial review begins on slide 10 with a few of our key performance indicators. Combined revenue of $270 million represented the highest level of revenue this company has ever had in a quarter, and as a noticeable increase from last the last three quarters revenue which were each around $235 million. This revenue has culminated with trailing 12 combined revenue now exceeding $950 million and is closing in on a target we set of exceeding $1 billion. From a gross margin perspective, we realized 14.7% based on the improved context that Joe touched on, and as much discussed throughout this quarters materials. Getting started with Slide 11 on a total combined basis, revenue was 30% ahead of Q3 2021, which is a recurring variance percentage throughout our financial metrics. Revenue generated by our core heavy equipment fleet was up 18% quarter-over-quarter, with the driver of this increase being equitable contributions from higher equipment and unit rates, as well as improved equipment utilization. Equipment and unit rates were updated in the quarter to reflect the specific inflationary cost pressures being experienced in the Fort McMurray region. Equipment operating hours and the associated operational headcount were both up 10% in the quarter, and yield and utilization of 62% which was significantly higher than Q3 2021 utilization of 52%. The month of September it was particularly strong and provides good momentum heading into the fourth quarter. Vacancy rates related to the Heavy Equipment Technician roles have lowered with net new hires of approximately 50 in the past three months, which was the primary factor in the overall equipment utilization achieved. The other wholly owned business lines primarily being DGI Trading, and the external sale of rebuilt haul trucks, each posted strong revenue in the quarter consistent with Q3 2021. Our share of revenue generated by joint ventures was $78 million, compared to $43 million in Q3 2021. Nuna Group of Companies had its best financial quarter on record, driven by the activity at the gold mine in northern Ontario, as well as the core businesses operating at better than historic levels. Secondary drivers of the increase in combined revenue include the continued growth of top line revenue from rebuilt ultra-class haul trucks now being owned by our joint venture with the Mikisew and the increasingly important impact of the joint ventures dedicated to the Fargo-Moorhead flood diversion project. The ground breaking ceremony and official start of construction work occurred in the quarter and ramp up of activities is underway with the project currently at less than 5% complete and remaining on budget and schedule in this early phase of the project. Combined gross project, combined gross profit margin of 14.7% was much improved from the 9.6% we posted last quarter, Q2 2022 and reflected strong operational performance in the quarter as our primary operations in Fort McMurray, Northern Canada and Northern Ontario experienced predictable and productive weather conditions for the majority of the quarter. Our joint ventures continued their strong their trend of strong consistent operating margins, and the updated equipment and unit rates were drivers for the Fort McMurray operations, returning to historical margin performance. Margins realized from the parts and components sales made by DGI contributed to margin stability when compared to Q3 2021 given the acquisition occurred on July one of last year. This second life rebuild program commissioned and sold two 240 ton haul trucks and one Ultra class haul truck during the quarter. Before closing this slide out, I would like to take the opportunity to point stakeholders to page M seven of our MD&A in which we provide a functional breakdown of our cost of sales. There is useful information in that table. And we expect to utilize this moving forward to message and explain the cost profile of our business. Moving to Slide 12 adjusted EBITDA of $60 million was easily a Q3 record and virtually matched our company record of $61 million as the 30% revenue increase translated to a 26% EBITDA increase on steady margins previously mentioned. Included an EBITDA is general and administrative expenses, which were $6.6 million in the quarter equivalent of 3.4% of the strong revenue quarter. As always, we pride ourselves on G&A discipline and Q3 was no different. Going from EBITDA to EBIT, we expense depreciation equivalent to 10.6% of combined revenue, which reflects the depreciation rate of our entire business. When looking at just the wholly owned entities, the depreciation percentage for the quarter was 13.8% of revenue, and reflected an extremely effective use of our fleet this quarter. Adjusted earnings per share for the quarter of $0.65 was 30% up from Q3 2021 as the revenue increased translated all the way down to net income. EPS was driven by $30.7 million of adjusted EBIT net of interest and taxes. Our overall interest rate to date is now 5.1% as we trend up from the 2021 effective rate of 4.3% from well-known interest rate increases. Our credit facility which currently sits at $180 million drawn and made up approximately 42% of our total debt is directly impacted by rate increases. We expect debt levels to decrease in Q4, based on our projected free cash flow generation. Moving to Slide 13, I'll summarize our cash flow net cash provided by operations of $40 million was produced by the business with the difference between this figure and the $60 million of EBITDA being cash interest paid in the quarter of $6.9 million and the timing of joint venture cash distributions in relation to the quarterly EBITDA they generate. Sustaining maintenance capital of $31 million was primarily dedicated to maintenance of the existing fleet as we invest in the fleet that drives our core business. Working Capital was required in the quarter and is fully expected to reverse in the fourth quarter. I'll end with Slide 14. Total capital liquidity of $162 million reflects the importance of our credit facility and getting through the challenges that come with being a heavy equipment contractor. On a trailing 12-month basis, our senior leverage ratio as calculated by our credit facility remained fairly steady at 1.7 times, but which we expect will be the high watermark for the year. Net debt levels increased $16 million in the quarter as breakeven free cash flow of $3 million was more than offset by the purchase and cancellation of 1.1 million shares for $15.8 million in the quarter. And with those financial comments, I'll pass the call back to Joe.
Joe Lambert: Thanks, Jason. Looking at Slide 16, this slide summarizes our priorities for 2023. I have previously discussed our commitments to increase our skilled trades shown in item four, but wanted to highlight the other three areas that will be particularly important to progress in 2023. The first area of focus on core to our culture and values is our on-going efforts to ensure each and every one of our employees returns home safely at the end of every workday. Although we have an extensive health and safety management system, and multiple initiatives for improvements, far too extensive doing the depth here today, we feel our growing workforce requiring increased new hires and an industry supply lower inexperience will be best served with an increased focus on further developing our frontline supervision, expanding our green hand training programs. The second area prioritizes continued expansion of our operational and maintenance expertise. We will prioritize new technologies such as our telematics system, which is now installed on half of the fleet with the remaining fleet installed scheduled for 2023. And continuing the in-house and vertically integrate our maintenance services and supply, such as a previously mentioned ML Northern acquisition and our component remanufacturing business with the newly expanded facility and added large hydraulic cylinder rebuild capabilities. We believe this prioritization and focus will continue to lower costs and improve equipment availability and utilization. Last but not least, item three describes our prioritizing of winning bids and achieving our target of greater than 2 billion in backlog by end of next year, which is a great transition to our next slide 17. Slide 17 highlights the net increase around 600 million to our already strong bid pipeline. In Q3 we also received RFPs bid and were awarded several winter projects in oil sands, totaling around $100 million, which never showed up on this list, and essentially have us fully booked through winter. We continue to expect to win our fair share of the large red dot regional oil sands tender, but believe this scope award is delayed or possibly scheduled for re tender next year, although we have not heard so formally. Lastly, we believe we will see another meaningful blue dot went outside of oil sands over this winter, which will continue our diversification success and potentially offer some upside to our forecast and smaller fleet 2023 utilization. On Slide 18, our backlog sits at 1.5 billion. And we continue to replenish and win our fair share of work across all resource sectors. What I continue to believe as a key takeaway on this slide is that our backlog is roughly proportionate to our diversification target, demonstrating both competence and sustainability of our diversification efforts. Last night on backlog I previously stated expectations of exceeding 2 billion before the year is out. But with the assume deferral the regional oil sands tender award, which was the driver of that expected increase, we have locked likewise deferred our expectations to next year. On Slide 19 we have provided our revised outlook for 2022. With our strong Q3 results, progress on priorities, Q3 tender wins and focus on safe and efficient close to the year, we have been able to increase the midpoints for almost all of our key financial metrics. A bit of free cash flow was deferred into the New Year predominantly due to work expanded and extended at our Northern Ontario Goldmine, JV with Nuna. We made what we believe were high value investments in growth through the acquisition of ML Northern and ensure old friendly buybacks, which we see is complete for the year and will direct the remaining expected free cash flow to deleverage. On Slide 20, we have provided our initial outlook for 2023. As stated in my letter to shareholders, we expect some pressure on earnings and free cash flow due to increased interest rates, but are pleased to show continued annual EBITDA growth coming out of a record expected combined revenue of over $1 billion. Free cash flow of between $85 million and $105 million continues to show the strength of our business, and we are eager to continue the trend execute the 2023 work safely and effectively and continue to properly grow and diversify our business. Regarding 2023 capital allocation, we continue to assess our options in light of market and other macro conditions. And we'll provide our expected outlook in more detail on our next call. In closing, I'd just like to thank our fantastic NACG employees, partners and clients for all your efforts and support in helping us achieve these record third quarter financial results in a challenging economic environment characterized by high cost inflation and increasing interest rates. With that, I’ll open it up for any questions you may have.
Operator: Thank you.[Operator Instructions] Your first question comes from Aaron MacNeil from TD Securities. Please go ahead.
Aaron MacNeil: Hey, morning, guys. I know, Joe, you just said you'd speak to it on the next call, but now at a high level in terms of where your head's at, on capital allocation next year, I mean, you've already blown through the NCIB pretty quickly, leverage ratios are pretty good. You're guiding to a good chunk of free cash flow next year. So I guess I'm wondering, what, what are going to be the priorities? Like, have you considered a dividend increase to make the yield a bit more competitive in the context of rising interest rates, special dividends, more acquisitions, organic growth? That reduction SIB's like I know, it's a broad question, but I guess I'm trying to just gauge where, where your head's at?
Joe Lambert: Yeah, I appreciate the question, Aaron. I agree that our dividends are probably less meaningful in this high interest rate environment, and what we think should be an increasing share price environment. And we'll certainly be reviewing that. We have two board meetings between now and our next call, actually. When it comes to M&A or growth, we're always just looking at what that accretion of return is, versus other opportunities, our share price relative to our value assessment is going to drive whether we look at NCIB's or SIB's or, or otherwise. And, and then looking at those dividends as far as whether we think it's meaningful and what we need to do to adjust them itself. So I don't have a direct answer. I tell you that when we have these discussions with our board, we try and be very tangible about how we measure it, and not be emotional and compare what opportunities are there at the time, or that we see coming, be an M&A growth, or looking at dividend or other shareholder friendly activities. So I know it's not a direct answer to you but that's probably the best that I can do right now. And this, this quarter is a big one for us. Because this is, this is where we get our cash flow. So getting all that cash flow in and then figuring out what to do with it. That's, that's our focus over the next couple of months here.
Aaron MacNeil: Fair enough, as about a good as answer as I was expecting. So maybe I'll ask something a bit more tangible. As it relates to the on-going inflationary pressures and your increased equipment and unit rates? It's obviously great to see that you were able to resolve those issues with your customers in an equitable way. But I guess I'm wondering, where's your head at in terms of inflationary pressures today? Like, are they still there? And what levers do you have now with those amendments to prevent future margin contraction that we saw earlier this year?
Joe Lambert: I think the inflationary pressures we're seeing now and what we would expect to see over the next six months or a year, I think will be captured in our escalation clauses in our normal indices. And if we see something unusual, like we saw in wage escalations in Fort McMurray, we now have a precedent and a template to address it be it escalation or de-escalation. So I think we're in a very good spot. I think, just having clear, open honest communications with clients where no one's trying to hide things or trying to benefit off of something, then I'd feel very comfortable going forward, regardless of whether, future inflation is covered under indices or not. So I think we're in a great spot for that.
Aaron MacNeil: Fair enough. Maybe I'll sneak one more in. I know, you covered the Fargo-Moorhead margin expectations in your prepared remarks. But like do you think we'll start to see or will it be a material enough that you'll be able to prove out your expectation in Q4? Or do you think we have to wait for Q1 or Q2 to really see kind of the full run rate impact and that project is kind of backing as you expected?
Joe Lambert: Yes, typical for us would be, we have to be kind of in that 10% to 20%, complete range before we even start looking at re-analyzing or going into real depth of re forecasting. Just because, you don't have right right now we're less than 5%. And I don't even I don't even think we get much beyond that before the end of the year. So I, I doubt we'll see any updates until likely this time next year.
Aaron MacNeil: Okay. No, that's fair. Great. Well, I will turn it over. Thanks for taking the questions.
Joe Lambert: Thanks, Aaron.
Operator: Thank you. Your next question comes from Yuri Lynk from Canaccord Genuity. Please go ahead.
Yuri Lynk: Good morning, guys.
Joe Lambert: Good morning, Yuri.
Yuri Lynk: Joe, did the updated rates impact the full quarter or just the tail end?
Joe Lambert: It's the full quarter. Without getting into details of it, it's -- there is going back to when we submitted things, we had adjustments, but we had accrued some of that. So, it affected the whole quarter regardless of how they met in the workshop, technically.
Yuri Lynk: Okay. And just on the bid pipeline, can you provide any more detail on the large blue dot that is going to be awarded sometime this this winter? And just in terms of is that? Is it another mine? Or is it on the construction infrastructure side?
Joe Lambert: It’s a North American Goldmine contract.
Yuri Lynk: Okay. And last one, just for Jason, I did have some trouble getting to 2023 EPS from the midpoint of EBITDA, can you just share with me what your interest expense assumption is, for next year? And also, if you're going to be paying cash taxes next year?
Jason Veenstra: Yes, so we're right around 6% of cost of capital assumption for next year all in. So that should be, with our debt coming down in this quarter, and then similarly, the next year that Q4 would be the quarter to pay down debt, and no cash taxes next year yet. We're projecting 2024 for cash taxes at this point, and continue to manage that. But free cash flow is not impacted by any cash taxes next year.
Yuri Lynk: The 6%, you're saying that's going to be your effective?
Jason Veenstra: Yes, effective rate overall of our debt. Yes, that's right, which includes the convertible debentures and Capital Leasing and the credit facility.
Yuri Lynk: Okay, maybe I'll follow up with you offline. Seems a bit low. Yes, otherwise, good quarter, and I'll get back in the queue. Thanks.
Jason Veenstra: Thanks, Yuri.
Joe Lambert: Thanks Yuri.
Operator: Thank you. Your next question comes from Tim Monachello from ATB Capital Markets. Please go ahead.
Tim Monachello: Hey, hey, good morning guys.
Joe Lambert: Good morning, Tim.
Tim Monachello: The implied guidance for 2022 implies a pretty wide range for Q4. I'm just wondering what you could, if you could describe the levers that could get you to the upper end, what gets to the bottom end of that range?
Joe Lambert: Mostly it's weather and operational. It's, the sooner it freezes, the better way off, usually. So typically, by the end of the first week or so, November, you start freezing day and night. So the weather plays a lot to do with it, because our dance card is full, it's just a matter of whether we get started earlier, or run later kind of thing. So it's no different than kind of spring break up. The earliest that actually freezes and stays frozen, and we don't have freestyle events, the better off we are. So that's really what drives a lot of it more than anything else, Tim.
Tim Monachello: Okay. And I guess same question for 2023 the guidance there.
Joe Lambert: As far as what's what's driving the – I think…
Tim Monachello: Like what do I take it to the top end or to take it the bottom end?
Joe Lambert: A lot of it is our equipment utilization and mechanical availability, if we're looking at. And the opportunity side of it, we also have fleet coming out of our Ontario coal mine joint venture with Nuna. We just assumed a pretty modest amount of hours on that fleet and remobilization There's some upside in that, especially with one of those big blue dots would fit that really well. So the upper end of the range, everything is driven by utilization. The upper end of the range is winning more work that has better utilization on the smaller fleet and getting better mechanical availability out of our fleet.
Tim Monachello: Okay, so the upper end of the range would include winning some of these bigger projects on slide 17? Is that correct?
Joe Lambert: No, it’s kind of a more of a, that those assets return to lower utilization of oil sands use if we get one of the bigger blue dots, and we'd actually improve on that.
Tim Monachello: Okay, got it. Sorry, go ahead.
Joe Lambert: It's more driven by the fleet utilization and mechanical availability, that we see extremely strong demand. So it's keeping the equipment running to feed that demand.
Tim Monachello: Okay. It's a good segway into my next question, which is just around slide 17, you got a big blue dot active tender phase, which looks like it could commence before year end. And that I don't think that showed up in the last presentation from the previous quarter. Can you talk a little bit about I guess, your near term opportunities that we might be well positioned for?
Joe Lambert: Actually that blue dot is the gold mine I’m speaking of in that, that has a spring of 2023 Start? What we're anticipating in that I'm pretty sure this chart shows when we expect the award not necessarily running the start date of the project is. We should probably look at how we represent that because it's difficult to do both. And this has actually been rescoped and retendered a couple of times. So we think this is the final one. And we expect to know in the next few months, with a kind of April May kind of start in 2023.
Tim Monachello: Okay, got it. Good quarter guys. I’ll turn it back.
Joe Lambert: Thanks.
Operator: Thank you. Your next question comes from Maxim Sytchev from National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good morning, gentlemen.
Joe Lambert: Good morning, Max.
Maxim Sytchev: I had a quick question in terms of the unit rates. And I know you've addressed that it's sort of impacted the full quarter, but there was no catch up dynamic, I guess. Right, like so the margin that we're seeing, it's not like you didn't benefit from the previous two quarters, sort of low rates that materialize in Q3. Is that an accurate way to think about it or?
Joe Lambert: Yes, yes, there was no recognition in Q3 beyond what we did in Q3.
Maxim Sytchev: Okay, okay. Okay. Perfect. Thanks for clarifying. And then the other question I had just around, I suppose the needs for the guidance sort of soaps are early. And for 2023 I mean, and I guess, in terms of the level of confidence in having these numbers out so early, do you mind maybe just providing a bit of sort of the rationale in terms of how you and the board approached the budgeting process for 2023?
Joe Lambert: Yes, actually, we we've done this at this time, for the last few years, Max. So I don't think it's unusual for us to provider, our initial outlook, we are we do actually, this is our budgeting season, our next board meeting will be to review that budget, and these numbers reflect that work that we've done. So this is really just part of our normally scheduled reviews that we do. And once we get our kind of 2023 budget in the range, we believe it's accurate, we put it out with our Q3 results. So these, these are what we expect to be in our budget documents that we bring our board here in about three weeks.
Maxim Sytchev: Right? No, I guess I mean, it is a, perhaps a bit more of a fluid environment, maybe relative to what we would have seen in the past. But yes, just was curious to see what was the thought process there?
Joe Lambert: Yes, we have a lot more kind of, in the books kind of work than we used to have years ago. So I think the fact that we can see that backlog and we know this work very well gives us a lot more comfort in doing this. I'd say really the only kind of estimating or we're doing here was in that fleet coming out of Ontario and whether we get a nice big blue.to roll directly into or not. And, generally we're fairly conservative on those assumptions.
Maxim Sytchev: That's -- that's helpful. And then, last quick question, just in terms of the labor costs, I mean, should we assume that we're seeing some moderation in terms of wages as you ramp up hiring. I don't know, if you can quantify or maybe directionally speaking, like, if we're probably up versus last year, still kind of on a rolling basis, but probably kind of down versus the peak, maybe just in any directionality there? Thanks.
Joe Lambert: Yes, we really haven't seen any unusual wage increases outside of what we saw for maintenance personnel in Fort McMurray. I think we're still in those typical, 2% to kind of 4% years, maybe inflation will push a push us to the higher end of that. Our operator wages and our normal wages are really never an issue in our, because our escalation clauses tied directly to our union contracts, where we had issues where and maintenance wages, because they're actually covered off and equipment costs, not in your normal operating wages. So and we believe that's pretty much, come to a head and we got a pretty good idea where that's going. So, I don't think we see anything unusual. As far as wage escalations going forward, more just looking at availability of people and focusing on the fact that in our training side, and the fact that we're probably going to have more, more less experienced people than we've had in the past, so that we need to really focus on our training and development of that frontline supervision and those new hires.
Maxim Sytchev: Okay, excellent. Thank you so much. That's it for me.
Joe Lambert: Thanks, Max.
Operator: Thank you. [Operator Instructions] Your next question comes from Bryan Fast from Raymond James. Please go ahead.
Bryan Fast: Yeah, thanks. Good morning, guys.
Joe Lambert: Good morning, Bryan.
Bryan Fast: Just what were some of the key drivers in attracting talent in the quarter? I mean, that's a pretty large step up? And maybe are those technicians coming from outside of the region? Or is it just a matter of shifting from some of your competitors?
Joe Lambert: We're getting quite a bit of outside where we, we've got a pretty innovative process, especially when it comes to maintenance personnel. We've attracted a premises at all levels from entry level, to guys that were like vehicle or medium duty kind of mechanics, and getting them back to get their heavy duty certifications. And so, I'm extremely pleased and proud of our HR efforts in bringing in mechanics and bringing in apprentices bringing in what we call direct service providers, which are kind of individual contractors that we hire into the business, it's a mechanic and a truck. We, even our vendors, we've added a significant amount to our vendors, we’re historically our, our OEM dealers haven't been able to, to adjust much. We've brought in 30 odd people from outside vendors, talking about my shareholder letter, from as far away as Australia. So both building our own, attracting others, looking in new new places, we’ll continue doing all that, and I believe we'll be successful. Really, what held us back was we didn't, we didn't feel a need to wait, raise wages back in the earlier part of the year, because we know it doesn't increase people by just ways of raising wages. And but unfortunately, at some point, you start losing people to those higher wages, and you need to adjust. So our adjustment was, we adjust our wages to where the market was at the time. We couldn't resist that any longer. And we don't try and pay over market, we pay market rates and we try and attract based on the quality of our programs and what we can do for our employees.
Bryan Fast: Thanks. That’s good color. And I just wanted to get some more color on the rebuild program. Have you now completed the order for MNALP? And maybe could you talk about the level of interests you're seeing from maybe some of your clients on rebuilds and remanufacturing?
Joe Lambert: I, we've completed today, I think we have one more truck that we're doing for MNALP our joint venture. We continue to look at their great opportunities for us when we can find these core machines and rebuild them for 40% less than the new ones are. They're great value coming out. They'd be great value if we could market them externally. I think our kind of limiting factor on this is we want to make sure we do our own maintenance first. There is high value to us in that utilization when our demand is high. So, it's a real balance to make sure we get all of our own gear running before we start fixing or building somebody else's.
Bryan Fast: Okay, thanks. Appreciate it. That's it for me.
Joe Lambert: Thanks, Bryan.
Jason Veenstra: Thanks Bryan.
Operator: It looks like there are no further questions. I would like to turn the conference over to you again Mr. Joe Lambert, President and CEO for closing remarks.
Joe Lambert: Thanks, Sergio [ph]. And thanks, everyone for joining us today. Really appreciate your time. Look forward to talking to you next time.
Operator: Thank you. This concludes the North American Construction Group Q3 2022 Conference Call.